Operator: Good morning. My name is Jody, and I will be your conference operator today. At this time I would like to welcome everyone to the Manitowoc Foodservice Q3 2016 Earnings Conference Call. This call is being recorded today, November 07, 2016. A replay of this call will be available beginning at 1 o'clock Eastern today until midnight, November 21, 2016 by dialing 855-859-2056 or 404-537-3406 and entering access code 95403868. You may also listen to a replay of this call over the Internet beginning at 1 o'clock Eastern today and running through noon Eastern on December 07, 2016. You can access the Internet replay by visiting the Investor Relations page at www.mtwfs.com. [Operator Instructions] Thank you. Vice President of Investor Relations and Treasurer, Rich Sheffer you may begin your conference.
Rich Sheffer: Thanks, Jody. Good morning and welcome to Manitowoc Foodservice's 2016 third quarter earnings call and webcast. Joining me on the call today is Hubertus Muehlhaeuser, our President and CEO, John Stewart, our Chief Financial Officer and Josef Matosevic, our Chief Operating Officer. Before I turn the call over to Hubertus, I need to review our Safe Harbor statement with you. Any statements in this call regarding our business that are not historical facts are forward-looking statements and our future results could differ materially from any implied projections or forward-looking statements made today. Our actual results may be affected by many important factors including risks and uncertainties identified in our press release and in our SEC filings. We do not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. Today's discussion will include both GAAP and non-GAAP measures. Please refer to last three pages of our earnings release for our non-GAAP reconciliations. We can find a copy of the earnings release in the Investor Relations section of our website www. mtwfs.com Now I'd like to turn the call over to Hubertus.
Hubertus Muehlhaeuser: Thank you, Rich and good morning everybody. We are very pleased to be speaking with you once again about our continued successful delivery of the operating improvements that we have announced in 2015. I just saw in our today's press release this morning we delivered an 18.8% adjusted operating EBITDA margin which is a 380 basis point improvement over last year's third quarter on a comparable basis. This makes five consecutive quarters of year-over-year margin improvement coinciding with the new management team taking over and it moves up to an adjusted operating EBITDA margin of 16.4% year-to-date which is now with our full-year guidance range of 16% to 17%, We remain fully on track with our simplification and rightsizing initiatives and continue to expect these actions to deliver our forecasted $50 million of savings this year against the three-year $100 million program that was announced last fall. As a reminder, our simplification and rightsizing initiatives are comprised largely of six categories. Within simplification we include 80/20 but our cost takeout lean implementation strategic sourcing. Within rightsizing, we include manufacturing capacity reduction, and headcount reductions. While we won't quantify savings for these individual categories, we will discuss them qualitatively to show our implementation progress. Within simplification we're continuing to make very good progress with our implementation of 80/20. We made further progress on the pricing portion over the project this quarter as prices for second tier products has been increased and we have remained steadfast in maintaining the reduced discounts levels for second tier customers that we had previously adjusted downwards. We've began rolling-out our product line and customer line simplification strategy this quarter and realized our first savings from these actions. Although these actions resulted in a small amount of loss sales in the quarter by small I mean something like less than 1%, this was more than offset by the benefit from the 80/20 pricing actions. We also made more progress on SKU rationalization this quarter as we reduced another 1% of our equipment SKUs bringing the total reductions to approximately 9% since the inception of the 80/20 project. On our strategic sourcing project we have completed the majority of our first phase initiatives. The team is now working on the next phase of the project for 2017 which we will discuss in the future. We anticipate that all of those new contracts will provide benefits in line with our expected saving goals. Moving on to our rightsizing initiatives. We announced the second round of our manufacturing capacity reductions last quarter which included the plants transfer of manufacturing from both our Seles Burke and Singapore plants and the subsequent closures. We are very pleased to report that the Singapore production transfer were successfully completed and the plant was shut down in the third quarter as expected. Kudos to our team in APAC for their excellent execution of this important project. The Seles Burke production transfer is proceeding as well as planned. We remain on track to complete the production transfer and the plant closure early in 2017. The Seles Burke closure will bring our total manufacturing capacity reductions to 15% once completed. As stated earlier, we anticipate further announcement in 2017 and beyond once Seles Burke is successfully completed as we track towards our strategic goal of a reduction in manufacturing overcapacity by 20%. Moving onto our topline results. On a constant currency base, our organic sales were flat with the prior year this quarter. As we detailed in our press release, organic sales adjust for disposal of the Kysor Panel Systems business in December 2015 and our acquisition of the remaining 50% of our Welbilt Thailand joint venture in October of 2015. Foreign currency translation had a negative 1.5% impact on our third quarter sales as we continue to see the impact of the stronger dollar especially against the pound sterling due to Brexit and also against the Euro, Canadian dollar and Mexican peso. The National Restaurant Association NRA, reported that restaurant sales have been uneven during the first nine months of 2016. NRA's restaurant performance index dip below 100% in August but improved in September to finish the quarter at 108 which indicates a slight expansion. We believe this trend of slight expansion in the restaurant markets will continue into 2017 start with months-to-months volatility. Let's look at the performance of our three reporting segments. In the Americas, third-party sales in constant currency decreased by 1.2% during the quarter due to lower sales volume of both hot and cold-side products which was mostly offset by improved pricing realizations. Our margin in Americas remains a great turnaround story. Operating EBITDA margin increased by 330 basis points compared to last year's third quarter despite the lower sales. This improvement was driven primarily by savings from our simplification of rightsizing initiatives, improvements in KitchenCare operations, operating efficiency improvement, improved pricing and the sale of KPS. In EMEA we have seen great performance in both the topline and operating results. Third-party sales and constant currency grew 4.9% in the quarter driven by the increase hot-side product sales particularly of our Merrychef eikon e2s High Speed Ovens. Third quarter operating EBITDA margin in EMEA increased by an outstanding 700 basis points over last year's third quarter. This was driven by savings from simplification and rightsizing initiatives, better product mix due to our new product introductions and operating efficiency improvement partially offset by the impact of foreign currency translation. Let's move on to APAC. Organic third-party sales in constant currency increased by 1.8% mainly due to a pickup in hot-side products sales into the QSR market. Our third quarter operating EBITDA margin APAC was flat year-over-year at 15.8%. We should see ongoing improvement here with the recent closure of the Singapore plant. I will now turn the call over to John for a review of our outlook. John?
John Stewart: Thanks Hubertus. As we look at our updated guidance from the press release, we have reaffirmed our prior guidance ranges for adjusted operating EBITDA and adjusted diluted EPS but we've slightly reduced our organic net sales growth to be or to now be between 0% to up 2%. Within organic sales, currency headwinds are expected to continue. We anticipate approximately 150 basis point impact on our full year results based on year-to-date and current FX rates. We're also seeing ongoing delays for orders for some of our new products that we introduced earlier this year. Some of our large QSR accounts have moved their timelines further out for these new products resulting in the majority of these sales now expected to occur in 2017. On the positive side, we expect more sales from the general market which makes us optimistic that despite further currency headwinds, we can still achieve growth in the fourth quarter. As Hubertus mentioned, we delivered an adjusted operating EBITDA margin of 18.8% in the quarter lifting us up to 16.4% for the year-to-date. However we have left our guidance unchanged for this metric. We're expecting some impact from both product and channel mix on our margins in the fourth quarter compared to our third quarter and in addition, 70 basis points of our improvement in the third quarter reflected an adjustment during incentive compensation expense. As we recognized among other factors, our lower organic net sales outlook for the year. Taking into account, these factors we're expecting our fourth quarter adjusted operating EBITDA margins to be lower than the third quarter's margin of 18.8% but still higher than 2015's fourth quarter adjusted operating EBITDA margin. Moving onto our capital structure, I want to highlight our debt repayment for you. We did achieve a $27 million net debt reduction in third quarter bringing our net debt reduction to $65 million over the last two quarters. We reduced the balance on our Term loan B by $45 million bringing the balance on that facility to $905 million as of September 30. However the balance on our revolving credit facility increased by $18 million in the quarter as we were required to send $23 million to one of our international ASPs to settle some inter-company obligations in the quarter. This transfer of cash is the primary driver of the slight decrease in our debt repayment guidance that we included in the press release this morning. Finally, we have adjusted our capital spend forecast done as we have shifted the timelines for some approved projects into 2017. And with that, I will turn the call back over to Hubertus.
Hubertus Muehlhaeuser: Thanks John. It is important to note that even with a slightly lower sales guidance that John discussed, we will still be within our prior guidance range for both adjusted operating EBITDA margin and adjusted diluted EPS. This is the strong testament to the success of our ongoing restructuring and optimization of the business. Let me also briefly discuss the health of the overall restaurant industry. While there are some who are saying that we are in an overall restaurant recession, we don't believe this to be the case. While the industry has agitatedly slowed, there is still growth and according to the National Restaurant Association over 60% of restaurant operators are still planning to make a capital expenditure for equipment, expansion or remodeling in the next six months. The restaurant industry is a fast pace ever-changing industry that utilizes equipment that needs replacing every few years. Concept lifecycles are short and with change comes beneath for new equipment to meet the changing demands. We remain confident the slower growth that the industry has been dealing with this year will begin improving by the end of 2017. We continue to win awards recognizing our technology and product leadership. In the third quarter we received six best-in-class awards from food and equipment magazine in various product categories. In addition, our Merrychef eikon e2s High Speed Ovens won the gold innovation award at the commercial kitchen show innovation challenge. To conclude our prepared remarks 2016 has been and continues to be a transition year for us as we focus on de-levering and delivering. Our initial priority on this multiyear journey has been and continues to be increasing our margins to industry competitive levels by focusing on improving our operations and decreasing product costs. While we have made great progress today we're still generally in the journey and it's critical to our long-term success to remain very disciplined in the ongoing execution of our simplification and rightsizing initiatives to improve our cost structure. At the same time, we are positioning ourselves to capture profitable sales opportunities with our focus on product innovations and selling system solutions that take advantage of our full product portfolio. We remain focused on de-levering our balance sheet, using all available U.S. cash flow to reduce debt. We have demonstrated progress on delivering the operating improvements now for five consecutive quarters and we have de-levered our balance sheet by $65 million over the last two quarters. Through continued delivering and de-levering, we will progress on our multi-year journey along the path towards industry benchmark margins and involving the capital structure to finance the future organic and acquisitive growth of our business.
Rich Sheffer: Jody, this concludes our prepared remarks. We will now open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of James Picariello of KeyBanc Capital Markets. Your line is open.
James Picariello: Hi, good morning guys. So can you just provide more color on the new product introductions that are now finally expected to begin shipping this quarter and how should we think about the size of this new products context that you guys provided?
John Stewart: Well, James this is John. A couple of things on the new products and actually maybe if I put it into context with our holding equipment. One of our major customers was expected to start ordering - our new holding equipment has delayed that into next year and as a result we’re actually selling a lot our legacy holding equipment to that customer's franchisees. Our new product has a better margin profile than the old products. So that's one of the issues we’re dealing with at the moment. As those move in for two or three of our major QSR accounts, as those move into next year, you should expect it to be a factor in mixed use growth but in terms of bucketing that growth in percentages we'll talk about that when we release our Q4 earning in February.
James Picariello: Okay. Fair enough. And then in terms of pricing, you didn't mention probably to see a better price realization in the Americas specifically in the quarter. What has changed since last quarter if anything and how are you doing this, the backdrop for pricing into the fourth and next year?
Hubertus Muehlhaeuser: Let me take that. I think my callings in the last quarter on pricing pressures were perhaps a bit over interpreted. Actually we have a very healthy margin structure and pricing structure in our industry. We had this in the last quarter and this continues to be. I think the point that I wanted to make in the last call was more directed towards our own employees that we don’t want to fall back in the old trap in chasing unprofitable business. So we focus on margin rich business and a known business where we can basically see our pricing given through to the customers. So, still healthy in the pricing environment so no change there.
James Picariello: Okay, I’ll get back in queue.
John Stewart: James, I’ll just build on Hubertus' point and elaborate on one of the comments I made that we’re expecting some impact from channel mix in the fourth quarter and that kind of goes to the overall rise of the buying group's relative to the distributors and they're becoming a bigger piece of our business obviously that business comes with rebates associated with it. So we’re seeing a little bit of a dilution structural dilution in pricing coming from that.
James Picariello: That’s helpful. Thank you.
Operator: Your next question comes from the line of Mig Dobre of Baird. Your line is open.
Mig Dobre: Hi, good morning guys, and very nice job on the margins this quarter. I guess my question is - I am trying to figure out why you're sort of leaving such a wide range on your EPS for the fourth quarter at this point maybe you can talk a little bit about kind of what takes you to the up versus the downside of your range. And also John maybe you can walk us again through the elements of the margin, here sequentially from the third to the fourth quarter. I know you mentioned that stuff already but I am not sure that I got everything so.
John Stewart: Sure. I'll happily go back and talk a bit. In terms of just to reiterate what I said in terms of what we're boosting the third quarter as a one-off. 70 basis points of the improvement in the third quarter was that adjustment that I talked about to our incentive compensation expense. Clearly when you look at an item like that we being accruing through the year expecting a full payout but on the basis of the outlook update for sales we've decided that it's appropriate to take that full accrual down to a more appropriate outlook for our payout which is round about 75% of where we expect it to be. So with that adjustment taking as done in this quarter, obviously that's not going to repeat in fourth quarter and therefore I didn't want to give you the impression that we'd be on the very high-end of operating margin guidance, which of course is where you could get, if you didn’t exclude that item. So we’ve got a $0.10 range. It's our first year as a public company and I don’t choose to at this stage tightened that range any other than to just reiterate that we are going to be within that range based on our current outlook. In terms of the sequential improvement, in terms of the third quarter this year versus the third quarter last year, Hubertus obviously talked to a number of the key comments. I'd highlight the operational efficiency improvements in the Americas with all the great job that's been done by Joseph and the team in terms of streamlining operations and really focusing on the initiatives within simplification and rightsizing. And then the team in EMEA has just done an outstanding job, executing against exact same initiatives with a real focus on cost savings, but they've also benefited from the benefits of improved volume mix from our Merrychef, a high speed ovens that are helping the quarter there. So those are kind of the key elements of change in the quarter.
Mig Dobre: Okay, I appreciate that. And then as we're looking forward and especially into 2017, maybe it would be helpful to give us an update as to how you’re thinking about by your interest costs into next year, obviously you're de-levering a little slower than what you are anticipating initially? I'm also wondering about, all the moving pieces to tax here and normalized tax rate into 2017?
John Stewart: So I don’t want to give you an interest outlook for 2017 until we get done with the year. Obviously, whatever your previous models where the extent to which our debt pay done is on here below what the previous estimate was, we've gone from $120 million to $140 million on the range to $100 million to $120 million on the range. That’s going to have an impact on interest expense next year. But I would flag for you the item that we've talked about as we’ve gone through this year on our term loan B. As I've mentioned to many of you in the past, our term loan B has a 1% soft call premium to reprice within the first year that premium disappears in early March of next year. And based on the outlook today, obviously the outlook then will be potentially different. But based on the outlook today, we expect to see savings of anywhere from 50 - maybe as much as 100 or slightly more basis points of improvement on our coupon on that term loan. So we'll give you an update in February on Convotherm much more closely and then when we do reprice, we will further update at that time.
Mig Dobre: Okay. And then maybe the final question for me. Going back looking at your operating performance and cost savings, you've targeted $50 million for this year, if it certainly looks like you’re delivering against that, you targeted $40 million for next year. I love some updated thoughts on that figure, especially given your recent success in shutting down the Singapore facility?
Hubertus Muehlhaeuser: Well, I think I’d like to make the same comment as John did. Let's guide and update you on 2017 when we disclose our fourth quarter results, which is going to be well into the next year. But it’s important to know that we remain committed on the numbers that we have put out in the market. So we believe that this is absolutely achievable and because we're going to see - it’s going to be the full-year, the first year that we see the full-year savings of ours then 15% capacity reductions, and of course we continue on it. I think it's also important to note that the restructuring journey with 2016 is not over. So 2017 is still going to be a year where we further improve our cost structures and Josef and the teams are very, very committed to delivering whatever we have basically put out. Anything to add there Joe from your side?
Josef Matosevic: No, I think what you're going to see here is finally come into Burke Seles a continuous focus and improving our product costs and being able to compete much more effective moving forward without taking any pricing actions. So I think this is a final comment.
Mig Dobre: Great. I'll get back in queue.
Operator: Your next question comes from the line of Tim Thein with Citigroup.com. Your line is open.
Tim Thein: Great. Thank you. Just following up on the earlier comment on pricing in North America, I know this is a typically around the time of year when list price announcements go up by the OEMs. And what it seems like the announcement that we're being hearing in the 3% to 5% range. I'm curious one if that's consistent with what you've seen and heard? And second just what's historically been the industries' or your own ability in terms of what you ultimately realize relatives to what the actual list price a change maybe?
Hubertus Muehlhaeuser: Let me start on this one and then Joe might want to add something. So obviously we've announced our price increases and that become effective in November. And we usually have a very good opportunity to getting those prices through as I've said earlier on in my comments. Joe, anything to add there?
Josef Matosevic: No. Everything is on track in terms of the average price increase hold the product lines here. It will take an effect in November.
Tim Thein: November, okay. And then the second just on the profit improvements in the Americas, maybe update us in terms of how KitchenCare contributed to that? Just I would think that as we get into the fourth quarter the year-over-year benefit start to become maybe little smaller just given the progress to date but can you maybe just give us a bigger picture update on KitchenCare both the top line as well as on the profit contribution. Thank you.
Hubertus Muehlhaeuser: Let me start and then I'll hand over to John. I think the team has done an outstanding job on KitchenCare as we discussed numerous times that was our biggest headache when the new team took over. And the situation is really well under control right now. It has contributed nicely to our results also in Q3 right now and it would continue to contribute well in 2017. And I think you are right to assume that obviously the three digits bips improvement year-over-year. At one point in time I'll go into flat-out, however, we still have a steep journey because you know that our [NKM] [ph] to say and our strategic plan vision is to become a mid 20s EBITDA margins company. And I think we've seen now that we are moving very, very nicely in that direction. John, do you want to give more color on this?
John Stewart: Yes, I just add Hubertus that KitchenCare globally benefited by about $3 million to $4 million in Q3 compared to last year's Q3 majority of that improvement from Americas.
Tim Thein: I appreciate it. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Larry De Maria, William Blair. Your line is open.
Larry De Maria: Hi, good morning, everybody. You mentioned you believe there were not restaurant recession and obviously of new product, so, just curious on your visibility on organic growth as we start to look into next year. So based on business shifting obviously and then I'm curious for heading replacement cycle. Just curious how to think it from a high level, obviously you don’t have guidance yet, but what a magnitude and how to think about organic growth into next year from what we are seeing now?
Hubertus Muehlhaeuser: This sounds pretty much like I'm Larry, I think the comments - I'd like to reiterate what I had said in the preferred comments, we see growth in the restaurant industry, albeit on a smaller percentage level. And so we also see that the large QSRs are shifting rapidly in upgrading their menu items and hence also upgrading and changing their machines and their equipment. And that is all positive news for us. But please understand that at this point in time we don't want to give organic growth guidance for 2017. But you can assume that we're not shrinking, we'll be growing, but to the extent we'll let you know. The same time while I say that, I think it is very important to note that other companies that went through similar restructuring efforts that we did shrink actually. If you look at - I don't want to call names here, but you know who I'm talking about is also been very successful in 1820 when they were driving that initiative their sales were down 10%,15% year-over-year. And I think you've seen that we manage to compensate that with organic growth. And this is pretty much what we're going to see in 2017 which is not going to be that top over restructuring year, but it's still restructuring year. At the same time we want to grow and we are chasing our profitable business and we have not been sleepy on the innovation front and as you see some of the new products that we anticipated with the last two designed in quarter three and four are coming now. And so it’s not that this business has gone, it’s just coming a little bit later. This is going to help. We're also very, very positive on the nitrogen that we have rolled out with one large customer and this is also going to hit the general market. So I think you have a lot in the pipeline to come to see a strong bottom and topline here for next year.
Larry De Maria: Thank you. So is it safe to say obviously you said next year you plan for growth but it is a transition year still but obviously you are still planning for growth.
Hubertus Muehlhaeuser: Yes.
Larry De Maria: And then if I could just second question. Did you - you didn't mention I don’t think fitKitchen wins. Can you let us know where we stand there, remind us where we are with the wins and when does financial impact from fitKitchen concept starts to hit the bottom line?
Hubertus Muehlhaeuser: Okay. The fitKitchen is moving very, very nicely. And as we have discussed numerous times, fitKitchen has different facets and different phases. The big fitKitchen win that we have announced in the last quarter call that was with the large QSR in North America. The full financial impact will be visible in 2018 and smaller elements of that in 2017. And then as a matter of fact we've had several more smaller fitKitchen wins that are going to show up in 2017 already. So this is moving very nicely. And it is more a general shift in the buying patterns of our customer. I mean they see a value staying within the Manitowoc Foodservice family of equipment. They see the benefits of the equipment being connected. They see the benefit of having dealers that really understand their equipment. So you're going to see a lot more bundling going forward around the fitKitchen concept. So we're fully on track with that one as well.
Larry De Maria: Okay, that's great, thanks. Sorry last thing, obviously with QSR and what not has been slow from same-store sales and you're seeing some pushing out of orders. We hear a lot of different reasons for this but when you talk to your customer is it just general uncertainty? Is it the election? Are there other factors out there, consumer concerns? Why do we think we're seeing bit of a softness in some of these market? What they're telling you?
Hubertus Muehlhaeuser: It's a mixed bag. There are some QSRs that are doing outstandingly well and there are some others that tend to be very, very large that are still in a restructuring phase as some others. So if that make back that over all gives you a smaller growth than anticipated but it’s still growing. And I think that is the message. People are, they call it a recession when the growth is coming down from 4% to 5% to 1% to 2% so it’s still growing and it’s not a recession in our eyes.
Larry De Maria: Okay, thank you. Good luck.
Operator: Your next question comes from the line of [indiscernible] of Bowden Home Capital. Your line is open.
Unidentified Analyst: Thanks for taking my question. When we look at your margin improvement in EMEA I believe we can see very strong margin contribution from the new Merrychef product. Can you talk a little bit more about how margins differ between the new product introductions versus the legacy products especially when we 2017 with couple of new exciting product introductions hitting the customers.
Hubertus Muehlhaeuser: Hi [Tobias] [ph]. Well, as you know we don't disclose margins on an individual product or product category levels. It is fair to say however that innovation and new product brings better margin. John made that comment on the hot holding her example where we're bringing great new technology with a significantly higher technology content that we can also price for because the customers sees an enormous improvement of speed of service and quality. So across the board you can say yes, innovation brings a higher premium, the so-called innovation premium but at the same time we also have pretty nice legacy product that is also high margin. But again do understand that we don't want to disclose individual margins per product group or lines or business.
Unidentified Analyst: Okay. Thank you.
Operator: You have a follow-up question from the line of James Picariello, KeyBanc Capital Markets. Your line is open.
James Picariello: Hi, thanks guys. So just free cash flow and debt reduction for the full year, you've cut the debt reduction effort by $20 million which I assume largely reflects a free cash flow downward revision as well. Have your recent manufacturing plant consolidations have - have they had any impact on MFS's ability to convert working capital in the second half? Is that a function at all or is this just maybe lower base volume in the second half that led to the production?
John Stewart: No, James actually it does not reflect a reduction in our free cash flow expectations. And I specifically address that in my comments that we had to remit $23 million overseas, in the third quarter that we had not previously forecast. Obviously we remitted that out of our free cash flow. We’re only able to pay down our U.S. term loan with cash that's in the U.S. We don’t want to expose cash that’s overseas to the incremental tax where it’s come back. So that was the specific issue I highlighted and it really doesn't affect free cash flow at all.
Josef Matosevic: Yes. It stay firm on the free cash flow internally.
James Picariello: My apologies for missing that.
John Stewart: We can do something with the cash outside of the U.S. depending how the election goes. I think both candidates talked about repatriation of profits back to the U.S., but that’s the different topic.
James Picariello: Okay. And just a quick follow-on, how should we think about normalized run rate CapEx in any given year, I mean is this year lower than what you expect going forward?
John Stewart: Yes, I think that this year is lower, obviously we guided previously to $23 million to $27 million meaning circa $25 billion of an average run rate. It’s lower this year. I think probably as much because of our operational change initiatives as anything else. I've mentioned before that, when you’re in the midst of a massive restructuring, the same guys that are delivering the restructuring are the ones who are tasked with implementing CapEx projects. And so we're behind on the timing on some of those projects. I expect to troll into next year. Obviously the projects that would be a tail-end of next year will probably roll as well. There’s only so much capacity we can handle on CapEx. So I don't anticipate it deviating from our norm of around mid $20 millions of CapEx.
Hubertus Muehlhaeuser: And we remain a low CapEx business. I think that is fair to say and there is no change foreseen on that front.
James Picariello: Got it. If I could just squeeze in a final one that's more high level. There have been some major players in China that have announced some major restaurant chains that have announced an initiative desire to franchise more restaurants as opposed to own them internally. So how does that affect the demand backdrop and how you guys might approach that market if that trend is more pervasive?
Hubertus Muehlhaeuser: Very positively and we are in the midst of that. I think Yum China has just spawn of their business there. It’s on a great leadership and we're expecting that they will benefit from that move and they will grow and Micky Pant is a very experienced leader. It understands the Asian market very, very well. So we see positive signs for us there. The same thing happened with Burger King. They basically franchised it to one of their best franchise group in Turkey and they’re really, really growing fast in China, and we're also in the midst of this. So we like what’s happening there and we like that because it drives investment, it drives investment as new, it definitely drives solid growth, so very positive for us.
James Picariello: Thanks.
Operator: Your next question comes from the line of Mig Dobre of Baird. Your line is open.
Mig Dobre: Yes thanks for taking my follow-up. I’m just trying to figure out exactly what’s going on with organic growth. In terms of new products versus what you actually seen in the markets because if I think back to last quarter when you first adjusted the organic guidance, I mean back then you were mentioning some delays in new product introduction is really being the culprit. This quarter you're moving it again and you're talking about again new products slipping into next year, but underneath it all the commentary has also been that QSRs are slowing. So I guess I'm trying to separate these two items. Is there any way to do that? Can you talk about where you think the market growth? The overall market growth has been or is in 2016. And maybe help us parse out what is just true end market headwind versus just timing and issues surrounding new products that are just simply slipping into 2017?
Hubertus Muehlhaeuser: Mig, I think one thing is very important to note. Half of this revision in the last quarter and half of this revision now is foreign currency exchange rates. It's the strengthening dollar against the Canadian dollar, against the peso, again the euro, and against the pound. That's half of the story. And the other half of it is really very large QSRs, just needing more time to basically communicate to their dealers this is now a specified product. They needed longer - some of them needed longer to really specify our product and even though it was ready and we were already, we were just not allowed to sell. There was one customer, I went to the convention last week, a great convention in Orlando, upbeat everything, the holding cabinets on the center stage but we weren't allowed to take the order as of November and that’s a time thing. So really this small guidance revision on the topline is all about FX change and it is about these large QSRs ordering a couple of months later, still ordering but a couple of months later than they initially have set and communicated to us, that's the whole story. It has nothing to do with overall weakness in the industry and what we’re doing and I think that was also signaled by John, we are placing that business right now also with general market business. So we have the buying groups right now that are supporting us greatly and that's what we really like and that shows how our business model works very well because remember we have these two pillars that we're on. We have the large QSRs and we have the general market. And this time it plays nicely. The general market is supporting us there.
Mig Dobre: Okay, I appreciate the color. And then last question John, I don't think you actually touched on normalized tax rate.
John Stewart: I didn't because you'd given me about three questions and I only remember the first.
Mig Dobre: Okay, it is my fault, sorry about that.
John Stewart: I think the thing to focus on in our tax rate this year as you've seen we took it down earlier this year, we’ve held it at this current guidance update. But one of the features that we’re seeing which is a benefit from our restructuring to move more business into both Canada and Mexico we're benefiting from the lower tax rates versus the U.S. tax rates. So that’s having a positive downward long-term pressure on our effective tax rate. I think as we - we’re still young as a public company. Here certainly our tax department is new but is very actively working on tax planning initiatives to finding the ways to perhaps remit some more of the overseas income to the U.S. in a tax efficient manner. So that's one of the key areas of focus and obviously as we update for 2017 tax guidance we’ll reflect what we know at that time but this year it's mostly other than the discrete items we’ve called out the trend is a positive trend of more foreign and less U.S. income.
Mig Dobre: I guess my question here would be, you're talking about discrete items right and you've got 23% to 26% ex that you're talking rather 26% to 29%. I guess I'm just wondering if it's fair to assume here that you can actually get to a mid-20s tax rate based on your evolving revenue mix at this point geographically?
John Stewart: I believe it is and that’s why we noted the ex-discrete items rate. So I think it is reasonable to assume that and of course over the long term we do expect that EMEA and APAC will grow at a higher rate than our U.S. business. So that’s going to structurally help us as well.
Mig Dobre: I appreciate the color. Thanks.
Operator: There are no further questions at this time. I’ll turn the call back over to Rich Sheffer.
Rich Sheffer: Thanks Jody. This concludes today's 2016 third quarter earnings call and webcast. Thank you again for joining us this morning and have a great day.